Operator: Good day ladies and gentlemen, and welcome to the Q2 2021 Calumet Specialty Products Partners, L.P. Earnings Conference Call. At this time, all participants are in a listen-only mode.  As a reminder, this call is being recorded. I would now like to turn the conference over to your host, Mr. Brad McMurray, Vice President of Investor Relations. You may begin.
Brad McMurray: Good morning. Thank you for joining us on today’s call to discuss our second quarter results. Joining me on the call are Steve Mawer, CEO; Todd Borgmann, CFO; Bruce Fleming, EVP of Montana Renewables and Corporate Development; Scott Obermeier, EVP of Specialty Products & Solutions; and Marc Lawn, EVP, Performance Brands. Before we proceed, allow me to remind everyone that during this call, we may provide various forward-looking statements as defined under Federal Securities Laws. Please refer to our press release that was issued this morning, as well as our latest filings with the Securities and Exchange Commission for a list of factors that may affect our actual results and could cause them to defer from our forward-looking statements made on the call. As a reminder, you may now download the slides that will accompany the remarks made on the conference call. They can be accessed in the investor relations section of our website at www.calumetspecialty.com. A replay of this call will be available on the website later today.  With that, I'll pass the call to Steve.
Steve Mawer: Thanks Brad. Good morning, everybody and thank you for joining us today. For the second quarter, the partnership generated $32.3 million of EBITDA. Specialty margins have been very good, increasing 19% over the first quarter, despite dramatic increases in input costs. Within the Specialty Products and Solutions segment, most of our product lines have implemented six or seven price increases so far this year. Back in late 2020, our team labeled 2021 as the year of the price increase and prepared our systems and teams for a rapid increase in our feedstock costs. We really appreciate how diligently our team has protected our margins in this environment. Sales volumes in Specialty Products and Solutions improved over last quarter, but are still short of maximum rate given that we completed our post turnaround inventory rebuild and also experienced an unplanned outage at our Shreveport facility in June. Performance Brands has also successfully implemented price increases with similar frequency this year. As one gets closer to the consumer, as we do in Performance Brands, price increases operate with a significantly longer lag time and performance brand second quarter is affected by this. One way to think about this lag cost effect is as a reversal of the positive price like benefit that we accrued in the second and third quarter of 2020 when we are in a deflationary depressed price environment. Demand in Performance Brands is extremely robust. And for now, we can't keep up resulting in a record backlog. As a specialties focused company with consumer brands, we're right in the thick of the supply chain challenges that the recovering global economy is experiencing. Performance Brands’ second quarter shipped volumes dipped versus first quarter, due to the production complexity that comes with multiple shortages. And Todd will spend a few minutes sharing our supply chain perspective, challenges, and also opportunities a bit later in the call. Montana Renewables had a solid second quarter. Our Northern Rockies niche tends to manifest its advantage during the spring and summer, and this was again the case in the second quarter. Limited availability and expensive long haul trucking in Utah and Nevada have increased the cost of re-supply to our market, which has benefited us. Although this has been partly offset by asphalt pricing, not fully keeping up with crude’s impressive rally. We also set production records both in Montana and several of our Specialty Products and Solutions facilities during the quarter. I know there is a lot of interest in the excellent progress we're making on our renewable diesel conversion project. And so before Todd takes you deeper into segment performance, let me give you an update. June was the last time we shared an update on Montana Renewables conversion. At that point, we added feed pre-treat as an additional project module and significantly raised EBITDA guidance. Since then, our estimates of the project cost and timing have not changed. We still plan to be producing renewable diesel after the plant wide turnaround next April. As we have discussed before, de-risking the renewable diesel venture, or indeed any venture, is a key element of our operating philosophy and stewardship. This stewardship goes in three directions. The first direction is project readiness. Due to the excellent metrology of our existing hydrocracker and already rail focused site logistics, the scope of work needed to complete the initial conversion is quite limited. We're holding fast to our modular step-by-step approach on the site, which simplifies execution and flattens the CapEx spending curve. We have decided to advance an SEC turnaround away from next April into the fall of this year in order to reduce execution complexity in 2022. We have secured a fixed cost engineering and procurement contract for our renewable green hydrogen plant, which removes cost uncertainty from a major program element and assures us of lower carbon intensity. We've passed another internal front-end loading gate, as well as an external readiness review of our project without the change forecasting, timing, or spending. These are just examples. The core reason behind holding the line on cost and timing is the top tier metallurgy we have at the plant already. This existing platform means we can dramatically reduce the cost and complexity of switching to renewable feedstock. Our metal is at the heart of why we believe this is arguably the best renewable diesel conversion project in North America. And as we've shown before, we have the lowest CapEx per barrel of any announced project. So, right now, we feel good about capital stewardship. A second stewardship element is commercial readiness, which also continues to make excellent progress. Our geographical advantage helps here as well. And we'll touch on that on the next slide, which I believe is Slide 4 in the packet. In terms of feedstock access and logistics, we're starting up next spring using technical tallow and some soy supported by our feedstock strategy, which is to emphasize the local gathering and take advantage of our superior geographic location.  Local supplies of non-soybean oils such as Camelina, Canola, Mustard, etcetera offer lower carbon intensity and lower logistics costs, because these temperate climate crops literally grow in our backyard. The dashed red circle on the map illustrates this. With the pre-treater on deck for late 2022 commissioning, plus our hydrocracker metallurgy, we will be able to run any feedstock. Millions of acres in Montana, Alberta, and Saskatchewan either are or can produce oilseed crops. And our location within this temperate oil seat belt will make us one of the most feedstock advantaged renewable producers in North America. While we plan to start-up on technical tallow and some soy, the pre-treater then shrinks our soy dependency window to one that is quite manageable. And you can see that from a chart we put on Slide 11 in the appendix of the packet. When you look at the appendix slide, you'll also see that we have an opportunity to de-bottleneck our oversized hydrocracker, and further expand the renewable diesel facility to over 18,000 barrels a day of throughput capacity for little capital cost. Many of you will recall that the hydrocracker was an off-the-shelf purchase and was oversized from day one, and we plan to take advantage of that. You can think about this is another exciting growth phase and opportunity for our renewable diesel business. Back to feedstocks, we've begun signing the initial supply agreements for start-up focusing on soybean oil and tallow produces close to  to our natural suppliers. We can get into this during Q&A if there's interest, but we've strongly supported the comprehensive bipartisan senate effort to have EPA approved the repenting renewable diesel pathway application for Canola. Canola is already approved in Canada, as well as being approved for biodiesel in the U.S. So, we see its inclusion as inevitable. You probably haven't heard much about the Canola feedstock opportunity from others. As for most of the renewable diesel projects in the U.S., Canola production is far away from them, but for us, it grows right around the plant. On the marketing side, we've had strong interest in our production, particularly in the northwestern markets, our position as the short-haul supplier to British Columbia, and the Pac Northwest is readily apparent, and events of the last six months have reminded people of the risks of lengthy supply chains. We're also blessed with a unique proximity to supply Alberta and Saskatchewan, with renewable diesel when the rest of Canada goes to low carbon fuels in 2023. So, while we conservatively forecast our EBITDA performance, assuming realization of the products in Los Angeles, we expect to do better than that. Indeed, our current modeling and via interest indicates that Canada may be our main or even possibly our entire market. Our third stewardship element is partnering. I'm happy to report that we've had tremendous interest in this project. Feedback from those who have dug in hot in the data room confirms our point of view that this is a truly exceptional value proposition, and most definitely not one of the  diesel projects. It's also gratifying, it's always gratifying when highly capable people go through a data room in-depth and reinforced and confirm our competitive thinking. Funding for this project could be available to us from multiple sources. The field has been narrowed and when we are ready to announce we will announce. I'll now turn the call over to Todd to take you through our second quarter results in more depth. Todd?
Todd Borgmann: Thank you, Steve. I’d like to turn to Slide 5. As Steve mentioned, we generated 32.3 million and adjusted EBITDA for the quarter. Our SPS business generated 31.8 million, Montana Renewables generated 12.8 million, and Performance Brands 7.3. As you can see in the chart, sales volumes improved relative to the first quarter as we came out of the Shreveport turnaround in the . However, despite exceptional demand, sales volumes fell below pre-COVID levels, for some of the reasons Steve alluded to earlier, and we'll get deeper into that in the segment discussion. The story on so many calls this quarter has been around the global supply chain challenges that are affecting businesses across the country. And on Slide 6, let's go into more detail on how that impacts Calumet. In our SPS business, the primary supply chain impact was around trucking and driver availability during the quarter. Members of our team at Calumet were working around the clock to find transportation solutions to keep our customers satisfied, and the situation has progressed favorably throughout the quarter. Further, as an industry, we entered the quarter with low inventory levels after the Q1 freeze. When you stack low inventories on top of the global supply chain challenges and pair it with extraordinary demand we're seeing spectacular specialty unit margins in SPS. As we look forward in SPS, we believe our most significant challenges around logistics are behind us, and we expect demand will remain strong as customers continue to restock. Our Performance Brands division has experienced the supply chain phenomenon most directly. This segment has our longest and most complicated supply chain, including various raw materials that are sourced internationally. As we know, complexity increases as businesses get closer to the consumer. And in this business, we're all the way to retail shelves. Logistics, base oils, additives, packaging, steel, bottle caps, labels and even cardboard have presented challenges. In addition, while our diversified supplier base is a strength, when the industry supply chain is backed up as it was in the second quarter, a broad supply base actually added more variables in scheduling complexity. Balancing all these moving parts required  of inefficient short production blocks and short shipments that don't come cheaply. In fact, our team was changing the production line more than quadruple the normal amount. And with these inefficiencies, we cannot keep up with the demand growth this business is seeing. We really appreciate the dedication of our production team as they balance these challenges to meet as many of our customers need as they possibly could. And we also thank our customers for working with us patiently and collaboratively as we spared no cost and pulled every lever we had to meet your needs. Additionally, an item of note that didn't have a big impact on the quarter, but that will impact us for the rest of the year is the loss of the industry's largest supplier of grease as they suffered a catastrophic plant fire in June. We've already began receiving shipments from our alternative suppliers and expect this transition to continue smoothly as we serve our growing customer base, but a higher cost of alternative supply will likely weigh in on our short-term financial performance in these product lines. Our Montana Renewables Segment was impacted the least of all of our segments. In fact, we've seen extremely low PADD IV fuel inventories as logistics constraints have raised the cost of long haul truck imports from competitors outside the region. I'll now go into our business segment results and we'll begin on Slide 7 for SPS. Both Steve and I have referenced the strong specialty margin environment we are experiencing. I'll reiterate what Steve mentioned earlier around pricing discipline. We've averaged a price increase per month in 2021, and the result is material margins that are higher than they were even during Q2 of last year, in a period when crude oil prices went negative. As the world's supply chain issues continued to be on display, we expect to remain in a strong margin environment for longer than we would have estimated earlier in the year as our customers continue to restock. In a bit, we'll see how these SPS margin tailwinds have the opposite effect on our performance brands division, but remember, we sell seven times as many gallons of base oil on SPS, as we buy in performance brands. So, it's a dynamic that can be favorable for Calumet. Unfortunately, in Q2, we did not recognize normal sales volumes. Our lube and wax inventory at the end of the first quarter was essentially at bottoms, which was 170,000 barrels lower than average levels. It took a little longer than expected, but we were able to replenish our inventories to acceptable levels during the quarter, and we expect to sell what we make in Q3. We also experienced some unplanned downtime at Shreveport and we estimate the impact of the Q2 downtime in the inventory rebuild was approximately $24 million. Last, you can see that margins for transportation fields continued to sit at depressed levels. We are pleased to see the market trending in the right direction, but after accruing for the impact of the RVO fuels margins remain at bottom quartile levels. Outside of Shreveport, we had strong operational performance at our specialty manufacturing plants, even setting five-year production records at our Princeton plant and our Penreco specialty oil plants. Let's turn to Slide 8. Our second quarter performance brands EBITDA of 7.8 million was blow last quarter and the second quarter of 2020. A few things we've already discussed significantly affected this business. First was the inflationary environment and subsequent upward pressure on feedstocks and other materials, which impacted our costs. While we've implemented price increases in this segment, at a similar rate to SPS, there's a natural timing lag on recognizing these increases in the consumer business, and we estimate the impacts of that lag to be roughly $7 million during the quarter. Steve reminded us that we experienced the opposite effect a year ago, when feedstock prices were deflating and our consumer facing products benefited from margin expansion. In a conference earlier this year, we estimated the impact of that deflationary environment to be an $8 million benefit to last year's Performance Brands EBITDA. So, we're clearly seeing the reverse of that now. We've talked plenty about supply chain issues, but I do want to highlight the extremely strong demand for our performance products this quarter. Unfortunately, we haven't converted all of this demand to shipments yet as we battled through the supply chain, and we've seen a record order backlog develop. Compared to last year’s second quarter, we've seen sales grow by $6.5 million, but we've also seen our sales backlog double to roughly 19 million. To put that in perspective, had we been able to ship everything that was ordered throughout the first half of the year, we estimate EBITDA would be roughly $7 million stronger than it was. And we are working diligently to reduce the backlog and deliver products to our customers effectively and efficiently. On Slide 9, you can see our Montana business had a reasonably good quarter. We saw the typical season demand increase as weather improved, and so did margins for light products and asphalt. Remember that asphalt pricing tends to be negotiated a few months prior and will experience a margin lag in an inflationary environment in the opposite on the way down. As I mentioned earlier, PADD IV life product inventories are low and supportive of the crack spreads and margins we're seeing. Now, I'll turn the call back over to Steve for a few final remarks before Q&A.
Steve Mawer: Thank you, Todd. We've covered a lot this morning. We're very happy with the progress and the opportunity in Montana. Inventory rebuilds and the final legacy of winter storm Uri are behind us, and we move into a third quarter characterized by good specialties margins, and the continuing slow recovery of fuels margins. The Rockies markets are showing their usual seasonal strength, demand in Performance Brands keeps growing, and the team is focused on turning that record backlog into income. So, with that, I'll thank you and I'll turn it over to questions.
Operator:  Your first question comes from the line of Neil Mehta with Goldman Sachs.
Unidentified Analyst: Hi, good morning. This is  on for Neil. Thanks for taking the questions. Just wanted to talk a little bit about the base oil markets more, you talked about margins have been really strong and kind of you expect that strength to continue longer than you would have initially anticipated. So, just wanted to get your thoughts on, kind of, as we move to the back half of the year, and as we go into 2022, kind of, when do you see the path to those, kind of, normalizing?
Scott Obermeier: Hi , Scott Obermeier here. Yeah, the base oil market, as you've probably heard from others remained at very, very strong demand very high profit levels for the producers out there. We see that trend in that plateau, if you will, continuing through Q3. And at this point, really, even into Q4, as production continues to ramp up and the global supply chain works to stabilize. So, we see a strong forecast for the remainder of the year. Outside of that correlates hard to look too far out into 2022.
Steve Mawer: Yes, it’s Steve. If I could add, I mean, I think the choice of words by Scott was very good plateau there. You know, we're not expecting margins to improve from here. I mean, there are record levels are ready. You know, we think that they'll be good for a while. But the margin, the U.S. is pulling base oil imports at this point, and so we would, kind of generally speaking, see that as maybe a cap on margins here. But I would reiterate Scott's point of view that we think that will be good for ways to come, as our customers are still clearly in restock mode.
Unidentified Analyst: Great, thank you. And then just wanted to touch on leverage and cash, you guys obviously took out a portion of  during the quarter, so just wanted to get your thoughts on, kind of the remaining balance there as we move towards 2022. And then on the cash side, the $35 million balance at the end of the quarter seems a bit low relative to recent quarters. So, could you just maybe remind us if there's a target level that you'd look for around cash balances going forward?
Todd Borgmann: Yeah, I'll take the cash first, . This is Todd. Thanks for the question. We really had too much cash sitting on the balance sheet with $100 million. So, we focused on overall liquidity. We didn't think that that was a level that we needed to maintain. So, we're just managing cash, managing interest costs with the move to use cash to, kind of pay down the revolver.
Unidentified Analyst: Great, thanks. And if I could just sneak one more in, you guys talked about Great Falls and kind of the Rockies region's margins being really robust right now. Based on the timing of the  that you had mentioned, do you expect to be up and running to, kind of, capture the full 3Q, kind of summer driving season strength?
Bruce Fleming: Hey Carly, this is Bruce. I'll take that one. So, the Rockies margins are actually at reasonably typical historical levels for this time of the year. So that's relatively strong for last year or two, the winter season and the spring season. So, in terms of the FCC mini outage that's going to be after the fall, peak season.
Operator: And your next question comes from the line of Roger Read with Wells Fargo.
Roger Read: Thank you. Good morning.
Steve Mawer: Good morning, Roger.
Todd Borgmann: Good morning, Roger.
Roger Read: Just hoping to dig in first to some of the things you talked about, like the $7 million lag in the second quarter. You mentioned that that's a function of price versus feedstock costs coming in, but is that something that generally gets recaptured in a 30 to 90 day period? Does it take longer than that? And then if crude and some of the supply chain things get ironed out as we go through the back half of the year, would you look for pricing improvements that have occurred and may still occur to ultimately lead to a little better margin environment than to say is typical as we look at maybe year-end into the first part of 2022?
Todd Borgmann: Marc, would you like to take that one?
Marc Lawn: Yes, of course. Thanks for the question, Roger. So typically, yes, the price lag is in that 30 to 90 day range, versus the contracts and the different channels that we operate through. So that assumption is correct. As we work through the balance of the year, there's a number of elements that play their way through into this obviously. There's the unknown on the supply chain side of things. We're at that intersection as we mentioned have sort of supply challenges, customer and consumer needs, and then the operational efficiency piece.  Assuming that the supply chain naturally starts to ease up, we would expect to see all of that margin recaptured further down the line. We've seen the record backlogs that we have and we believe that there's upside potential in the second half of the year. We’re playing catch up with those elements, but there's still a lot of unknown to be able to navigate as the way through, but we would expect to – right back to the start of the question, we would expect some normalization back in terms of the margins that we've enjoyed historically.
Roger Read: Okay.
Todd Borgmann: Yeah. Let me add a little bit Roger. This is Todd, you know, earlier we heard from Scott, kind of the concept of plateauing SPS margin. So, as , you know, pricing catches up to the rising feedstock prices, over that 30 to 90 days, we should see, you know, and Scotts margins remain where they're at. We should see that margin impact flow all the way through, right, so you get the benefit of price increases in Performance Brands catching up, and then you also get the benefit of peak stock prices, kind of plateauing and not continuing to increase.
Roger Read: That's helpful, very clear. Changing gears a little bit to look at the Renewable Diesel project, I've just two questions. One of them, on Page 12 of the presentation where it talks about a renewable hydrogen project, just curious what the factors are behind that? And then the other question, as we look at the various alternative feedstocks say at soybean oil, what – as we understand in soybean oils, we are on limitation here. It’s not so much soy beans, as it is soybean processing into oil. So, are you comfortable as you look at the alternatives that you mentioned that there will actually be oil processing capacity, as well as farming capacity? And you know, maybe how all that fits into supply chains?
Scott Obermeier : Hey Roger, I'll take a start at that, and Steve may want to add a couple of comments. So, in reverse order, yeah, there is a agricultural commodities value chain. You know, first the farming and ranching remember that we're also planning to run tallow. Then the, you know, the crop processing, seed crushing, and importantly, the oil pretreatment. Every renewable diesel plant in the country, without exception has to have a pre-treated feed. The question is, is the  on your site or is it some kind of an industry service at the crop processing point? And by choosing to put our pre-treater on our site, we'll be able to run anything at all. What you're seeing in the markets is mostly a distortion due to lack of pre-treating capacity. It’s not lack of crops.
Roger Read: Okay, thanks. And then the renewable hydrogen?
Scott Obermeier: Yeah, so that's because given our site balances, and the fact that we're going to continue to have a crude oil business, we've got a good opportunity to reduce our carbon intensity of our renewable diesel product further by gathering some of the other hydrocracker products and using them in our hydrogen production. So, that's what we're going to do and that's why we're doing it.
Roger Read: Okay.  everything?
Scott Obermeier: Yeah. Specifically, we're going to recycle some of the molecules from the tallow and vegetable oil processing, some of the light ends back into hydrogen production.
Roger Read: Okay, great. Thank you.
Operator: Your next question comes from the line of Gregg Brody with Bank of America.
Gregg Brody: Good morning, everybody.
Scott Obermeier: Good morning, Gregg.
Gregg Brody: Just sort of two topics I wanted to cover. So, obviously, we have to see a Supreme Court ruling on small refinery exemptions. I'm curious, how do you think this plays out from here with respect to your liability and what we should be looking for? What you are looking for, for next steps there?
Steve Mawer: Bruce, do you want to go first on that one?
Bruce Fleming: Yes. Thanks, Gregg, for the question. I think it's safe to say at this point that no matter what the EPA decides, somebody will sue them for it. It's difficult to see anything happening in real time. It looks like it's all on a Court dockets, kind of a timeline. So, we wouldn't care to forecast how that's going to play out. I can tell you in our case that, you know, as we discuss every quarter, a RIN is not a cash obligation. And I know that financial modelers are just itching to convert that to money, but that's not how it works.
Gregg Brody : That's helpful. I appreciate that.  I just wanted to hear your thoughts, which, and just turning to, you've previously said that your plan with a JV process would be to pay down the rest of the 2022 and some of the 2023, is that still the plan or has anything changed there?
Todd Borgmann: No, nothing's changed there. You know, this is Todd, Gregg. But as you know, the markets continue to be very favorable, should we want to kind of refi our debt stack now. But you know, looking at the horizon and, kind of seeing, kind of where we're at in the partner search and our positioning there, we do plan to use proceeds from that to pay down the short-term debt.
Gregg Brody: Great. That's it for me, guys. I appreciate the time.
Todd Borgmann: Thanks Gregg. 
Operator: Your next question comes from the line of Jason Gabelman with Cowen. 
Jason Gabelman: Hey, thanks for taking my questions. I appreciate all the detail on the renewable diesel project, had a couple questions on it. Firstly, I know you previously disclosed this pretreatment unit, can you discuss the CapEx cost of that pretreatment? I don't think I've seen it in previous materials. And then secondly, on the Renewable Diesel project, is there something that needs to happen in the market in order for – in order to catalyze the JV partner signing an agreement, I'm thinking, you know, maybe the RVO is being announced or maybe there are other kind of public market milestones that need to occur? And then thirdly, what do you think – what's the likelihood that the refinery becomes part of the joint venture? It seems like there have been a handful of refining deals recently. So, just wondering if you're thinking the non-Renewable Diesel part of Montana will remain 100% on by Calumet or be part of the joint venture? Thanks.
Bruce Fleming: Hi, thanks Jason for the question. The, maybe if I take those in reverse order, you know, the – we told our unit holders in March that we were going to go in this direction after spending about 18 months reviewing our strategic options, including these reconfiguration opportunities on the site. And, you know, the majority of the in-bound calls that we got, in the next 100 days we're focused on renewable only. There's a lot of money available in the U.S. economy for green projects, and this is a really good green project. So, for that reason, and we're flexible in our own thinking, but to the investors it looked like a renewable only play was preferred. So, we've set it up that way. The question of whether there's some sort of a market trigger, not that I'm aware of, I'll invite Todd or Steve to think about that a little bit, but, you know, it's not like we're waiting on an event. We funnel this down. The first part of the funnel was sorting out whether people wanted the whole side or the renewable part, which I've just covered. Second part of the funnel was, what's the security of feedstock supply look like, which we've touched on in these remarks. And Steve had a slide at the very beginning with a, kind of an interesting color coded , but that's important, you know, I would suggest some focus there as appropriate. So, the addition of pretreatment followed from that, which takes me to your first question, what's it cost? That is guidance that we've actually not given at the discrete project elements level. What I can tell you is that our installed capital cost per barrel is the lowest of any project that's been announced, adding the pre-treater did not change that. Remember that the pre-treater brings its own revenue stream. We talked about that a little bit with Roger a second ago.  So, given all of that, we're pretty satisfied. We're not spending a great deal of money. We're getting an excellent leverage out of these program elements. It stretches out the field activity all during next year. It's not some kind of a big bang turn on a giant project, it's discrete small elements that are very manageable. So, you know, we're pretty excited, but all of that is what allows us to hold the line and cost and to hold the line and timing.
Jason Gabelman: Got it. Great. I appreciate all that color. And then my other question just going back to RIN, I know you took a, but it was a 48 million non-cash market-to-market charge, what's the total liability sitting at right now? And can you discuss, is there – do you have any type of strategy if you don't get all the small refinery exemptions that you've previously got? And how are you thinking about handling the potential payments that you would be required to make? Thanks.
Bruce Fleming: Maybe start with the second part of the question and pass it back to Todd for the current balance sheet part of the question. So, in terms of how this plays out, we feel like it's going to play out in slow motion, no matter what happens, whether anybody wants it to or not, there always seems to be someone showing up to try to resolve the matter in court, rather than through the administrative channels. So, we feel reasonably good about our relationship with the EPA in this regard. But, you know, we can't say that we don't all get dragged into a larger controversy. So, with respect to our strategy and our options, yes, I mean, we talk to the EPA a lot. We talk on multiple levels, and for different tactical reasons. They have several authorities. It's not only the small refinery exemption. So, they certainly got the ability to navigate all of us into a better consensus as a society. And I think they're going to find a way. I just don't want to have an opinion on how fast. Todd, you want to tackle the balance sheet part?
Todd Borgmann: Yeah. You know, the number on the balance sheet, $273 million is the total. And, you know, for all of the reasons Bruce just talked about, you know, in many calls before, and some of what he just referenced, this isn't a number that we expect to turn to cash. It's more than just the SRE, there are a lot of layers to this, but just to answer your question, $273 million is the number we report on our balance sheet.
Jason Gabelman : Okay, yeah.
Steve Mawer: Jason, this is Steve, if I could add. I just want to reiterate what Bruce said, I mean, we maintain what we would describe as the slow motion scenario. So, if you go back to before the Supreme Court ruling, you know, we said that the Supreme Court ruling wouldn't make that much different, it would just spark off a wave of litigation. The Supreme Court ruling went effectively in Calumet’s favor, but we don't change our position. We think it's just setting up a wave, a slow motion wave of litigation. This thing will run and run and run. It's not a cash settled end at all. And we, you know, our internal expectation is that this situation runs at least well past the point where we will be a net RIN generator.
Jason Gabelman: Got it. Appreciate all the color. Thanks, guys.
Steve Mawer: Thanks Jason.
Operator: I am showing no further questions in the queue at this time. I would now like to turn the conference back to the presenters.
Scott Obermeier: Thanks everyone, On behalf of Calumet, the management team here and the entire company, we appreciate your interest and your time this morning. Hope everyone has a good weekend. So, thanks again.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. Have a wonderful day. You may all disconnect.